Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0 and a member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0 and a member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Welcome to the Stabilis Solutions, Inc. Fourth Quarter 2025 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode. Following the presentation, we will open the line for questions. Lastly, if you should require operator assistance, I would now like to turn the call over to Andrew Lewis Puhala, Chief Financial Officer. Mr. Puhala, please go ahead. Good morning.
Andrew Lewis Puhala: And welcome to Stabilis Solutions, Inc. fourth quarter 2025 results conference. I am President and CFO of Stabilis Solutions, Inc. And joining me today is our Executive Chairman and Interim President and CEO, J. Casey Crenshaw. We issued a press release after the market closed yesterday, detailing our fourth quarter and full year operational and financial results. This release is publicly available in the Investor Relations section of our corporate website at stabilissolutions.com. Before we begin, I would like to remind everyone that today’s conference call will contain forward-looking statements within the meaning of the Private Securities Reform Act of 1995 and other securities laws. These forward-looking statements are based on the company’s expectations and beliefs as of today, 03/05/2026. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. The company undertakes no obligation to provide updates or revisions to the forward-looking statements made in today’s call. Additional information concerning factors that could cause those differences is contained in our filings with the SEC and in the press release announcing our results. Investors are cautioned not to place undue reliance on any forward-looking statements. Further, please note that we may refer to certain non-GAAP financial information on today’s call. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures in our earnings press release. Today’s call is being recorded and will be available for replay. With that, I will hand the call over to J. Casey Crenshaw for his remarks.
J. Casey Crenshaw: Thank you, Andy, and good morning to everyone joining us on the call. We closed out 2025 with strong execution as we successfully wound down operations on two major multiyear contracts: our truck-to-ship marine bunkering contract with Carnival Corporation and our contract with a leading global provider of mobile power generation servicing an electrical cooperative in Louisiana. The completion of these agreements resulted in a year-over-year decline in revenue and adjusted EBITDA for the fourth quarter. The conclusion of the contracts during the quarter reduced fourth quarter revenues by approximately 28%. In both cases, we remain in a strong position to continue supporting these clients as they assess their future needs for our integrated last mile LNG solutions. Their ongoing engagement is a testament to our platform and the strength of our team and our people. As we move into 2026, we continue to see significant, significant and growing demand across our key markets. That said, we expect lower revenues and profitability in the first half of the year as we bridge toward the startup of several new customer contracts that are expected to begin in mid-2026 and early 2027. As we announced on February 17, we were awarded an estimated $200,000,000 two-year contract to support behind-the-meter power generation for a U.S. data center. Upon commencement, it will represent the company’s largest ever contract in operation. Deliveries will begin in 2027 and are expected through 2029. As the United States continues its historic investment in data center infrastructure, the rapidly expanded power needs of these facilities create a substantial opportunity for behind-the-meter LNG-based power generation. Over the past several months, we have seen a notable increase in customer interest in LNG for both commissioning and bridge power for U.S. data centers where pipeline-delivered gas or electrical power is not available. Our last mile LNG solutions network is a highly reliable solution in these environments. We are also seeing strong demand in our aerospace market where commercial launch activity remains robust. Our commercial team continues to pursue opportunities with both new and existing customers in this sector. At the same time, we work toward FID on our Galveston liquefaction project. We are also seeing strong long-term demand trends for the marine bunkering offtake. We continue working toward a final investment decision on the Galveston facility. We are in active discussions and negotiations with potential project equity sponsors and lenders on the financing structure. In parallel, we have 60% of the facility’s planned capacity contracted and are working to sell the remaining available capacity. We continue to work with our advisors on a special purpose vehicle structure funded with project-level debt and equity from third-party investors. This structure is expected to create long-term value for all stakeholders while enabling Stabilis Solutions, Inc. to further expand our core operations amid accelerating end market demand for flexible LNG fuel solutions. As we work toward FID, we are actively engaged in engineering design and ordering long-lead-time items to maintain the project schedule. We remain committed to providing periodic updates to our shareholders as key project milestones are achieved. In summary, 2026 represents an important transitional year for Stabilis Solutions, Inc. Achieving FID on our Galveston liquefaction facility will mark a foundational milestone, positioning the company for meaningful change in long-term value creation. At the same time, our commercial and operational teams remain focused on delivering best-in-class service, reliability, and quality across our other growth markets. Contracts we have in hand provide strong visibility into sustainable multiyear growth beginning in 2027 with momentum building as we progress through late 2026. As always, we remain committed to creating sustainable long-term value for our shareholders and look forward to keeping you updated in the quarters ahead. With that, I will turn the call over to Andy for a detailed review of our financial performance.
Andrew Lewis Puhala: Thank you, Casey. I will begin with a discussion of our fourth quarter performance followed by an update on our balance sheet and liquidity. Fourth quarter revenue decreased 23% year-over-year driven by a 22% decrease in lower rental and service revenue. At an end market level, marine bunkering revenues fell 42% year-over-year while power generation revenues decreased 56% due to the conclusion of the large multiyear contracts in both markets. This was partly offset by a 17% increase in aerospace revenues and a 12% increase in industrial revenues compared to the same quarter last year. Adjusted EBITDA was $1,500,000 during the fourth quarter, compared to $4,000,000 last year. Adjusted EBITDA margin was 11.5%, down from 23.2% in the fourth quarter of last year. The decrease in our adjusted EBITDA margin primarily relates to the conclusion of the two large contracts, a nonrecurring favorable SG&A adjustment, and a gain on asset sale, both occurring in the prior-year quarter. Cash from operations totaled approximately $670,000 for the quarter. Liquidity at quarter end was $10,200,000, consisting of $7,500,000 of cash and approximately $2,700,000 of availability under our credit facilities. Capital expenditures totaled $3,100,000 during the quarter, primarily related to early engineering and design work and long-lead items for the proposed Galveston facility. In 2026, we anticipate $1,000,000 to $2,000,000 of additional capital in the project and for routine maintenance CapEx. Additionally, we expect to invest additional capital into mobile equipment and related assets required for the significant data center contract set to begin in early 2027. This capital investment will be funded by prepayments made by the customer. That concludes our prepared remarks. Operator, please open the line for the Q&A session.
Operator: Thank you. The floor is now open for questions. At this time, if you have a question or comment, please press 1 on your telephone keypad. If at any point your question is answered, you may remove yourself from the queue by pressing 2. Thank you. Our first question comes from Martin Whittier Malloy with Johnson Rice. Please go ahead. Your line is open.
Martin Whittier Malloy: Good morning. Congratulations on all the progress you have made on the data center front and Galveston LNG and aerospace. A lot of moving parts here, a lot of positive news. First question I have is about data centers, and I think there is a growing recognition that behind-the-meter power for these data centers might be utilized over a longer period of time, and then you have some temporary backup power needs. Can you maybe talk about what you are seeing in terms of customer demand in the data center market? And I know this contract that you have talked about is for two years in initial length. Can you talk about opportunities to extend that?
J. Casey Crenshaw: Yes, sure. Happy to. And by the way, thanks for joining today and I appreciate your feedback. So when we think about the last mile LNG solution for the behind-the-meter data center or high-speed computing area, there are really a couple of different areas that Stabilis Solutions, Inc. can participate really well in. And I am going to take it from the shortest to longest duration. The first is around the commissioning of these facilities, where it could be 50 to 100 megawatt volume and could last anywhere from three to nine months, where they are working to commission blocks of these data centers, and these are one range of activity. They may be waiting on gas pipeline or different power electrical hookup during that period of time, but they are trying to commission the facilities in advance of that, whether it be the water, the cooling, and all the different things they are commissioning. The second, which is similar to this other project, is what we call a bridge solution where we are providing last mile LNG solution to a power generation company and they are providing either a two- to five-year bridging while they are waiting on the natural gas pipeline or the power lines to be brought into the facility. And so there is a chance that things do not work out on perfect scheduling and there are extensions to those contracts. And the last is there is a growing volume of permanent gas power generation for data centers, and LNG becomes a backup solution on those. So they have a pipeline connected in, they have natural gas, they have natural generators that are running off natural gas, but they bring in LNG as a backup solution in case there is any outage or issues with the pipeline. So I hope that explained the three different sectors and where we participate in the space of behind the meter for specifically data centers. And I want to add Stabilis Solutions, Inc. is actively providing distributed power activities around all different types of applications, not just data centers. But data centers are definitely a growing area right now for the company.
Martin Whittier Malloy: Okay. And I was wondering if you might be able to, you know, this contract is much larger than what we have seen previously. Could you talk about any factors that we should consider in thinking about EBITDA margins on this kind of contract that would cause it to be above or below or on average with historical averages, or maybe not the specific contract, but just in general, larger contracts that you might be looking at.
J. Casey Crenshaw: Well, there are a couple of different things we have worked on this one. And one is to have the client support us on additional CapEx that is related to the project and to be able to perform around contracting third-party supply, etc. So we have structured the contract to give the most solution around very strong results for the client and protecting the downside for Stabilis Solutions, Inc. if there is any delay or gap in service. And so we have done that through customers supporting us with credit enhancing features to support us on the CapEx and the OpEx related to locking down the supply to support them. That is one thing we have done as a risk mitigator. When I think about EBITDA margins and some of that stuff, I feel it is consistent with historical business, and we do not prefer to give any project-based specific details around that out, other than to acknowledge that it is not it for the clients and stakeholders and it is not anything different than historically would be provided other than they provided a lot of credit enhancement to protect us in case there are any scheduling delays.
Martin Whittier Malloy: Great. Thank you. Very helpful. I will get back in queue.
Operator: Thank you. Our next question comes from Tate H. Sullivan with Maxim Group. Please go ahead. Your line is open.
Tate H. Sullivan: Hi, thank you. Good day. A follow-up to your last comments too on the two-year contract estimated revenue of $200,000,000, do you base that on forward prices for your LNG supply? Or can you go a little bit into how you generate that $200,000,000?
J. Casey Crenshaw: Yes. So that is based on—thank you for the question and thank you for being on the call today. And that is a good question. That is based on expectation of the cost of the LNG and all the additional costs associated with delivering it, and that is based on their expected demand that they have given us over that two-year period. Not any extensions or none of that. So maybe I hope that answered the question.
Tate H. Sullivan: Okay. Yes. Thank you. And then when you talk to customers such as the data center owner or operator, what are the pricing discussions like when they are talking about diesel generators versus backup energy storage systems, or how do you address any pricing concerns from customers of LNG and other solutions?
J. Casey Crenshaw: Yes, I think that is a great question. And I think when we really think about where—and I hope we are being clear about this to you guys—that these three different areas where LNG really can participate. One is the shorter term, you know, three months to one year where we are doing the commissioning and support. Sorry, them on the power generation for the commissioning. That is probably the least price sensitive area. Bridging is more price sensitive. And then that final area is the most price sensitive, if you are permanent installed power base, you know, are competitive projects and they are looking at what their kilowatt per hour and everything is. And so, you know, we are always comfortable competing with diesel. But if you look at kind of, you know, grid cost power or you are looking at pipeline cost, those are normally cheaper than an LNG turnkey solution.
Tate H. Sullivan: Okay. Thank you for the background. Thanks. Have a good day.
J. Casey Crenshaw: Thank you.
Operator: Thank you. Our next question comes from William Dezellem with Tieton Capital. Please go ahead. Your line is open.
William Dezellem: Thank you. I have a group of questions. First of all, discuss with this large contract how you are going to fulfill a couple hundred million in revenues. I mean, it is clearly, that is not—presumably, that is not coming from George West. So walk us through just practically how this will unfold, if you would, please.
J. Casey Crenshaw: Bill, thanks for the question. I appreciate that because I think that will add some clarity. This project is not in a region that is going to be supported by our own liquefaction facilities. So we are using our third-party network. We speak a lot about this third-party network of Stabilis Solutions, Inc., you know, through our acquisitions and the buildup of who Stabilis Solutions, Inc. is today through a number of companies that did not have their own liquefaction capacity and always used third parties. So we are using third-party liquefaction offtake agreements, and we are providing the turnkey LNG solution providing the logistics and then the on-site storage and regasification of the molecule back to the gaseous state to hit the generator. So that is, you know, the way we are doing it. And there is LNG available in these regions in these markets. And it really provides an easy data point of why Stabilis Solutions, Inc. is unique and special in the fact that we do have our own liquefiers and then we have the ability to provide this kind of turnkey solution even if we are not making the LNG ourselves. So I hope that answers it. Yes. It is not in the Gulf Coast region, and due to some confidentiality protections, we do not talk about where it is in the United States or in North America.
William Dezellem: So, Casey, with that in mind, is there any reason that you could not do, I mean, hundreds of these type of contracts? And I recognize there are not hundreds out there, but really an unlimited number since it is not your molecule that is being consumed.
J. Casey Crenshaw: Well, eventually, yes. Bill, that is a great question. So let us break it back down to those three options. One is the commissioning. We can do a lot of those. Those are really good, you know, six months to one year projects. Really good, lots of that is available. We are working on lots of conversations around that. And then this bridging project is really good as well. Yes, we can do a lot more. It is not limited by our liquefiers, but there is some limit to the total available LNG out in the different regions and how far we can move it via truck. So what happens is it becomes more price sensitive. And then when you then look at the backup solution at longer term, that is where, you know, the economics of these facilities, how long they are bridging, what their timeline is, all plays into the price that they are willing to pay and how far we have to move it to provide that. So first phase, the commissioning testing, lots of opportunity, lots of availability, just really strong. Bridging a little bit less, two to five years. There are some projects that will absolutely do that. We do believe we can scale that as well. And then the backup is a really strong longer-term opportunity where they really do not want to do the backup with diesel if they could help it. They want to continue to do their backup with natural gas, and they want to be toggling between grid prices and their own behind-the-meter power generation is kind of the perfect world for these data centers. And, you know, there is still, you know, to be honest with you, we are still early stages in the development of how to optimize the power on all of these, and they are just trying to get them in. So what we are excited about at Stabilis Solutions, Inc. is that we are an active participant in the distributed power market. This is the data center part of it. We are excited that we are working on it. We have been talking to you guys about it. We are equally excited about the aerospace business. We are equally excited about the marine bunkering activity and what we are seeing there. But this is an area that we are recently seeing contracting activity and we are delighted to be able to share with you guys some tangible contracted success around the space. In the data center, distributed power we have been in and doing and continuing to do.
William Dezellem: Thank you. One additional data center question before we jump to marine bunkering. So is rolling stock a limitation at some point because of production capacity, or is this—I guess I am trying to understand what other limitations are there besides the ones that you aptly laid out in your response to my question?
J. Casey Crenshaw: Well, I will go over all three of them. One is third-party supply or self-generated supply. And some of these projects are long enough, they may want us to build liquefaction nearer to the facility. So some of them are that bridging where they say, hey, could you consider putting a plant up nearer the facility and truck it in. So it is the molecule availability, and it is the logistics equipment, and then it is on-site storage and regasification equipment. All three of those are gating items and are really determined by the volume needed at the site and the distance. So we go into this with the largest logistics fleet and regasification fleet in the country due to the fact that Stabilis Solutions, Inc. had consolidated and been in this space in a number of end markets for years. And so we have the largest cryogenic fleet and regasification storage fleet in the United States. So that is an inherent benefit. As we continue to have growth in this space beyond what our logistics and on-site storage equipment and even liquefaction is, these customers are working with us to support and enhance the credit of the contracts to allow this solution, which we saw in this project where they were supportive of that on how they handled the contracting. So in this contract that we have discussed, we are adding logistics equipment. We are adding, you know, n+3 kind of protection around on-site storage and regasification. So they are super supportive on making sure they have everything in place that performs for their data center needs.
William Dezellem: Alright, thank you. And then moving to the Galveston facility, since we are talking about FID by the end of the month, I mean, that looks like it is fully on track. But I will take the negative side of the question: what could derail it at this point since we are 25 or 26 days away from the end of the quarter?
J. Casey Crenshaw: Yes. Well, hopefully, we have laid it out. There are a couple different things that we are in conjunction working on. One is the additional offtake. So we said we have 56% of the offtake contracted. We are in active discussions with customers around contracting the balance of the facility. The balance of the facility offtake agreed to optimize the capital structure in the project. Secondly, the capital structure. We are still in active negotiations and working with our capital partners, both the term debt part and then the preferred equity kind of sponsor in the SPV. So those work in conjunction with the offtake, and so we are working all that as one group. And then we are working to have the timeline be consistent with what our clients that have already contracted need that to be. So long-lead items, engineering, so we continue to work on it while we are trying to get that locked up and finalized.
William Dezellem: One derailleur of timeline might be a global war, which we happen to start this past weekend or started this past weekend. So that kind of changes the dialogue.
J. Casey Crenshaw: We think it enhances the need for stable, low-price, consistent fuel in the United States, specifically in the Houston Ship Channel. We think this enhances the project long term and shows why Stabilis—means Greek for stable—means having capacity and supply in the Houston Ship Channel, Galveston area is positive for the United States and the customers that call on these ports. So we think it is an enhancer, but it definitely is a new variable that got inserted in the process this week. So I hope I have laid it out. There is the commercial side. There is the financing matching with that. And then there is just the lead time and execution for the current clients that have the 56% of the offtake. And then there are kind of third-party things that are in play like the conflict in the Middle East, which is driving up the global cost of LNG, which is making the LNG that we can produce more optimal for our clients to contract.
William Dezellem: That is helpful. And let me ask relative to the Carnival contract not being renewed. As it was shore to—or truck to—ship, would you please walk us through the dynamics of why they are not renewing, then what they are going to do for fuel in the intermediate time period before the Galveston plant is up and running.
J. Casey Crenshaw: Sure. I will give you a little bit of color. I cannot always—we cannot speak for our client, but I will speak to what we understand and what we are, you know, pretty comfortable telling you guys is that they would have liked to have extended that contract. The Jones Act vessel that they had contracted separately that we delivered to, that delivered the fuel to them, was no longer going to be available starting in 2026. And that availability of a Jones Act bunkering vessel for this project is what made the extension not happen.
William Dezellem: So they had, you know, verbally and letter agreements—
J. Casey Crenshaw: Told us they wanted to extend it. But it was based on them having that available vessel, and that vessel was not available. That changed their ability to extend. In the medium term, short term, they will have to either have their vessel rerouted to an area where they may get LNG, whether that be The Bahamas, or do some routing difference, or they will have to use marine gas oil, which is called MGO, which we refer to as MGO. It is their alternative fuel source. Does that answer your question or is there any follow-up to that?
William Dezellem: Yes, it answers the question, but maybe this is highlighting the lack of equipment for bunkering—that maybe that I certainly did not appreciate or understand. So maybe just as my final question, would you lay out the supply-demand dynamics of the bunkering vessels that exist and how rare or prevalent they are and why this particular bunkering vessel was no longer available to continue the contract.
J. Casey Crenshaw: Absolutely. I think the best way to think about it is the maturity of the different bunkering markets. And I would say the most mature bunkering market with Jones Act bunkering vessels is in the Florida or the southern part of the United States in the Florida area. It was the first to start adopting and became the earliest, and I believe my number may be off by one, but I think it was about five Jones Act vessels that are bunkering LNG in the United States, and they are all in Savannah or in Georgia down through Florida. And so that is the availability of Jones Act LNG bunkering vessels in the United States, there are five or six and those are all in that area. And so that area was developed first. And so one of the reasons we are excited to bring this to the Gulf Coast and, over time, in other areas is because it is not a new technology. This is adopted, is working. It is just a shortage of vessels. And so that vessel was able to be moved back and have plenty of work over in that region.
William Dezellem: That is helpful. Thank you, and good luck with the FID process.
Operator: Thank you. We will move next to Ed Proskovich with WP Capital. Please go ahead. Your line is open.
Ed Proskovich: Good morning. Casey and Andy, I have been involved in Stabilis Solutions, Inc. for some years, probably going back to GTLS—GTLS, Chart Industries’ initial investment. I have just a quick question, a good follow-up question. I see you have leased or chartered a vessel from Seaspan, the Garibaldi? I am wondering how that fits into the SLNG picture since it cannot bunker the United States, but it could bunker places in The Caribbean or Panama Canal. Hello?
Operator: Just one moment please. We are having technical issues. Please remain on the line. To our location line, we are having technical issues. Speakers are back in conference.
Ed Proskovich: Anyway, hey, guys. Hey, I have been a holder since the Jeep days. I really like the company. Everything is super. I have one question that feeds in well to the previous question. I see we leased a bunkering vessel, granted not Jones Act approved. Can we get any updates on that? What is it going to be used for? Are we not going to use it or what?
J. Casey Crenshaw: Well, we are still in process on that. We would like to circle back with you on the next call. That was a plan to work toward trying to support our clients and customers, but let us circle back with you on the details on that. But—
Ed Proskovich: Okay. We are not prepared to go over that—
J. Casey Crenshaw: Just yet. Okay. I will speak to you guys later. Thanks for joining, and we appreciate you being a shareholder and being active on the call today. Thank you. Thanks, Ed.
Ed Proskovich: Okay. Thank you very much. Bye.
Operator: Thank you. We do have a follow-up from Martin Whittier Malloy with Johnson Rice. Please go ahead.
Martin Whittier Malloy: Thank you for taking my follow-up question. Just wanted to ask kind of a bigger-picture question relating to aerospace. I guess the potential has been out there for years that we might see something more on the contracting side there with respect to aerospace. Now with more demand for LNG for, yeah, data centers, manufacturing, bunkering, is there any change in the way that the aerospace companies, space companies, are viewing their LNG supply and maybe trying to secure it more with a contract, have more visibility on the security of the supply there?
J. Casey Crenshaw: Well, I will start and I will let Andy kind of come back on this. Like we do have contracted work we do with them. And it is done on one-year and re-extended contracts, etc. And we have a number of contracts inside the space. But when we think about contracting, we are talking about multiyear take-or-pay type discussions. And so we are contracted, they are just not multiyear take-or-pay contracts. And, you know, it is an exciting time for them. Their commercial consistency on really, you know, making money, sending stuff up and how that works with satellites and what their total business is and how that interlocks with the data center AI kind of growth and macro—they are really together. They are actually coming together on activity, not separating. And we do think there is going to be a lot of need for closer supply both in Florida and in the other areas where they launch and how they go about that. And then there are still quality differences on what their rockets need and how they need it. We continue to work with all of our clients in that area about how we can put, you know, specific-purpose liquefiers in for them, how we can contract longer term. They are, as they are continuing to grow their needs and develop more consistent flights, I think that is becoming more and more of a question and an issue. You know, obviously, some of them like to self-perform everything. Some of them want to do more outsourcing. So, you know, I think there is just a blend there. So not trying to not answer it real directly, but I do want to say we are contracted with these good companies. We do expect to see meaningful growth in overall revenue in 2026 versus 2025. North of 30-plus percent growth, maybe more than, more 40% growth in that space. That is our expectation and we are seeing it grow. But we have not today a line of sight on putting an asset in for one of them yet as in the liquefier fit for purpose. And we are actively having discussions with that being available. We just have not got that contracted yet.
Martin Whittier Malloy: Great. Thank you. Very helpful. Appreciate it.
Operator: Thank you. We will move next with Spencer Lehman, a Private Investor. Please go ahead. Your line is open.
Spencer Lehman: Hi, good morning. I am very excited about what you guys are doing, what you have got lined up. Sort of my dream come true. After many years. And I just turned 90, so I think maybe I am going to get a chance to watch all this develop. I do wonder if you had considered the possibility of instead of going alone, maybe merging with a larger company where all the financing could be done by their balance sheet. But it looks like the train sort of left the station. Right? And is that still a consideration? Or you think you can handle this whole thing? It seems like it is pretty ambitious for such a small company, but you feel pretty confident?
J. Casey Crenshaw: Yes, Spencer, we do. And first of all, just thanks for being a long-term shareholder and we are more excited than you because we are just big believers in how this turnkey LNG solutions is just a game changer on all three of these growth markets, aerospace and the distributed power and the marine bunkering, and we are just, you know, wildly excited about it. Yeah. You know, I think we laid it out that in the marine bunkering project where we are doing a lot of infrastructure right now, we are talking about how to finance that through a project financing special purpose vehicle and we think that is the most optimized capital structure. It allows us to retain our equity, while we believe the equity is not fully priced into the opportunities and growth of Stabilis Solutions, Inc. And so it allows us to have growth without meaningful dilution. And so we still believe that is the right path. When we look at distributed power, customers are supportive and credit enhancing to help us meet that growth with them. And when we look at space, you know, we are absolutely—or aerospace—available to put in some assets and do some stuff if they contractually would like us to do that. So we are not against putting debt, enhancing the capital structure, or really doing anything that unlocks value for the shareholders. And furthermore, we have a duty to unlock that value for the shareholders. And so you are not going to hear us in the management team saying never say never on anything. Our goal is to grow the company profitably with these three big end markets that we are discussing. For you shareholders to know that we want to grow the company, and we believe this is a growth space—both infrastructure, logistics—there is just all kinds of growth. And as we need to tap different financial markets to accomplish that, we have a duty to go do that and we intend to. And so we appreciate the question. Right now, we feel like we have got adequate support with the clients and the contracts right now. But we do not want to pretend there is a negative bent on anything other than profitable growth for our shareholders and for our stakeholders.
Spencer Lehman: Well, thank you. And I think that is a great answer, and I am very pleased that you try to keep the dilution at a minimum. So thank you very much.
J. Casey Crenshaw: We are in alignment there. Okay.
Spencer Lehman: Alright. Go get them. Thank you, Spencer. Appreciate you joining this morning. Sorry our phone got disconnected. Yeah. Okay.
Operator: Thank you. We will move next to George Berman with Cabot Lodge Securities. Please go ahead. Your line is open.
George Berman: Good morning, and I also want to join the previous callers congratulating you to a very, very good job. I think things are looking definitely up, up and away for us. One particular question I have, I discussed this with your CFO a few times. We are owners of an ownership stake valued at about $10,000,000 on your balance sheet that is throwing off about $1,000,000 a year with a China joint venture. Is there any chance of maybe monetizing that because I think that would add some nice firepower for your current projects.
J. Casey Crenshaw: Well, I appreciate the question. And we are really proud of that stake with that partnership with BAMKO and with our joint venture in China. We are proud of the company. We are proud of the management team. And we are delighted to be partners with Baumco in that business. Because we are not the majority shareholder and we are a partner and heavily represented on the board, we do not control all the perfect timing of how that strategic asset would be monetized. There are specific things in the joint venture agreement that allow it to be monetized at certain time periods. And those are specific. But it is a wonderful company. I think there is a lot of value, but I think the negative with that is, you know, the geopolitical challenges associated with China right now make that a bit of a, you know, is this the most time to do something there or not? Should we wait till things normalize better? Is that a better step-up value? But it is a great company. It is a wonderful group over there and if you know, that was part of the existing company that Stabilis Solutions, Inc. reverse merged into. You know, one of the only assets inside the company as we reverse merged into it. But we are delighted to have that. We participate as board members, both me and Andy, and are actively in that and have an executive that watches it and is in China working on it for us. And the million dollar plus a year that you received is nothing to shake a stick at either. We are proud of their performance and their consistency on providing the shareholders dividends and cash dividends as it relates to that business.
George Berman: Right. And you are currently—you have the one big plant in, I believe, it is George, Texas, produce the LNG. You also mentioned last year on a conference call that you had already acquired the necessary equipment to build a second one. Has that gone any further? Is that part of the overall picture right now where to put it?
J. Casey Crenshaw: Yes, that is. We have two liquefiers, one in Port Allen, real near Baton Rouge, Louisiana, and one in George West, Texas. And then we acquired a complete additional plant to—we call it a train or a plant or a liquefier—to install. The best place to install that is George West. That is where we would like to install it because the construction cost is lower and we get the benefits of having all the infrastructure already there. However, we have both marine clients and distributed power clients and space clients all looking at maybe they would like it near their offtake agreement. And so we have left it as an uninstalled asset to try to come up with where the most interested customer and client might want it with the longest term, you know, opportunity and offtake being. So it is available to deploy and has not been finalized on where that deployment is because we have not had the customer finalization of where to put it.
George Berman: Right. So you would say—or we could say—that you basically right now are in the driver’s seat, fielding offers, and whatever is most appropriate for the company, you can take it and proceed.
J. Casey Crenshaw: Yes. I appreciate the comment. We believe customers are in the driver’s seat. We are just waiting on which one would like to have that availability and that surety of supply. We are kind of under their direction. But it is a valuable strategic asset to have and have the ability to deploy it quickly relative to a greenfield application.
George Berman: Right. Right. Well, Mr. Crenshaw, I also want to thank you for taking over the leadership there. I think we are definitely going in the right direction, and I will be looking forward to much higher equity prices once we get the financing for these big opportunities on the ground.
J. Casey Crenshaw: Well, I agree that we have a great team here. I am looking forward to higher equity pricing for all of us as well. We have an amazing management team here. Andy, you will get to speak to a lot—our CFO, our balance of team here with Matt and Sage and Colby and just can go on and on with our team here. I mean, it is hard for me to throw out names because we would have to throw them all out. We have an incredible team, the most skilled turnkey LNG solutions team in the world. And these three core markets that we talk about with the best team in the world, period. Getting to the most profitable growth and the most profitable projects is something that we need to keep working on and optimizing for the shareholders. But we have a great team, a great set of assets, great set of logistics, plants and customers and end markets, and we are just so lucky to have all of our good clients. And we are working hard to keep them. And even though we had these two contracts roll off, the fact that we are still working with both clients and active with both clients is a testament, as we stated earlier, to our company and our team and people. So thank you for calling in today.
George Berman: Thank you.
Operator: Thank you. This concludes the Q&A portion of today’s call. I would now like to turn the floor over to Andrew Lewis Puhala for closing remarks.
Andrew Lewis Puhala: Well, thank you all for joining the call today and your support of the company, and we look forward to keeping you updated as we have things to share and look forward to speaking with you on next quarter’s call as well. Thank you.
Operator: Thank you. This concludes today’s Stabilis Solutions, Inc. Fourth Quarter 2025 Earnings Conference Call. Please disconnect your line at this time, and have a wonderful day.